Operator: Greetings and welcome to the BOK Financial Corporation’s Third Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to Steven Nell, Chief Financial Officer. Please go ahead.
Steven Nell: Good morning, and thanks for joining us. Today, we’ll hear from Steve Bradshaw, our Chief Executive Officer; and Stacy Kymes, Executive Vice President, Corporate Banking. And I’ll also make some remarks about the quarter as well. Marc Maun, Executive Vice President, and Chief Credit Officer has also joined us for the Q&A session. PDFs of the slide presentation and third quarter press release are available at our website at www.bokf.com. We refer you to the disclaimers on Slide two as it pertains to any forward-looking statements we make during this call. I’ll now turn the call over to Steve Bradshaw.
Steven Bradshaw: Good morning. Thanks for joining us to discuss the third quarter 2018 financial results. As shown on Slide four, the third quarter represented yet another record quarter for BOK Financial with excellent execution across all operating units. Net income was $117.3 million or $1.79 per diluted share, that's up 2.5% from the previous quarter and up 37% from the same quarter a year-ago. This strong financial performance was driven by a number of factors. Loan growth continue to be strong coming off a record quarter in Q2 with growth in both our specialty lines of business and our regional CNI activities. Net interest income continues to expand from loan growth and trading portfolio activities, coupled with the slight improvement in our net interest margin. Credit quality metrics remain strong. However, we did add 4 million to our loan loss reserve as a result of the growth in our loan portfolio. This is the first loan loss provision we’ve had since the third quarter of 2016. Fee and commission revenue was up over 6% for the quarter for the competitive ability and scale of your wealth management business allowed us to earn a $15 million fee. We continue to be extremely disciplined regarding expense growth. Our overall expense levels are down year-over-year despite substantial increases in revenue. Turning to slide five, this quarter was another great quarter for loan growth with an increase of 2.5% or 10% annualized in average loan. Coming off a record second quarter, we’re pleased to see growth continue. Most importantly, the growth continues to be broad-based across all of our major loan categories. We continue to feel optimistic about loan growth for the balance of the year due to strong commitment levels and Stacy will provide more details in a moment. Assets under management were down slightly this quarter. We attribute the decrease to timing of inflows and the seasonality of disbursements, primarily in our bond management business. I’ll provide additional perspective on the quarterly results at the conclusion of the prepared remarks, but now I’ll turn the call back over to Steven Nell to cover the financial results in more detail. Steven?
Steven Nell: Thanks Steve. As noted on slide seven, net interest income for the quarter was $241 million, up $2.3 million or about 1% for the second quarter pre-provision. However, I’ll remind you that the second quarter included $5.3 million in interest recoveries compared to immaterial interest recoveries in this quarter. The net interest income improvement was largely driven by the loan growth that Steve mentioned. Net interest margin was 3.21%, an increase of 4 basis points from the second quarter. Loan yields increased 12 basis points and yields on available for sales securities increased 7 basis points. Interest varying deposit cost moved higher by 11 basis points, but continue to track favorably to the industry. We continue to benefit from our enviable mix of high commercial demand deposits. On slide eight, fees and commissions were $167.5 million, an increase of 6.1% on a sequential basis. Rising interest rates have slowed the production of mortgage loans and related products leading to compressed margins. This has adversely impacted both our brokerage and trading revenue as well as our mortgage banking revenue. Brokerage and trading revenue decreased $3.4 million and mortgage revenue decreases $2.8 million compared to the second quarter of 2018. While interest rate hikes have added a headwind to these businesses, run rate expense save measures have been undertaken in mortgage to reduce capacity resulting in savings of $1.6 million from the previous quarter, and we are expecting to take similar action in other fee businesses. Transaction card revenue was up 2% compared to last quarter. This was primarily due to strong growth and transaction volumes, which in turn was driven by a higher customer count. The year-over-year comparison was impacted by heavy contract buyout revenue in the third quarter of 2017. Fiduciary and asset management revenue was up nearly 38% this quarter. Though there was one large transaction that comprised $15 million of the increase, I think this demonstrates how strong our wealth management capabilities are. Transaction of this size aren't attainable unless you are a top tier firm. While this deal was a significant driver this quarter, stated fee production has been an ongoing trend in this segment that we're happy to see. Turning to slide nine, we continue to carefully manage operating expenses in line with guidance to deliver earnings leverage. Personnel expense is up this quarter primarily due to valuation assumption adjustments to equity compensation that result in a second quarter expenses being less than normal. Other operating expense is up marginally as well this quarter, mostly due to an impairment of a software license of $2.3 million coupled with a $1.7 million other real estate owned write down. There were about $1 million of CoBiz acquisition related expenses in this quarter. Slide 10 has our current guidance for the balance of 2018 and some general outlook for 2019. We expect continued loan growth as we integrate CoBiz portfolios into our lines of businesses. As a result, provision levels moving forward will be influenced by loan growth. We anticipate that loan loss reserve levels could drop below 1% after consolidation at counting of CoBiz. We have built into our 2018 forecast, one additional rate hike in December. We currently expect additional increases in the federal funds rate to be accretive although at a decreasing rate as competition for deposits intensifies in the future. We expect the revenue from feed generating businesses will be down due to continued mortgage headwinds. The mortgage production environment is obviously challenged right now while we are holding our own relative to the competition the impact of our mortgage production and mortgage trading businesses may continue to be noticeable. CoBiz integration and closing charges are expected to be $45 million going forward with approximately 75% on the fourth quarter of 2018 and 25% in the first quarter of 2019. CoBiz adds a bit of complexity to our forecast models. So until our budget assumptions are fully adjusted, I'll hold off on discussing 2019 at this time. However, based on the forecast information I’ve reviewed post closing, we still feel comfortable with the 6% earnings per share accretion in 2019 as previously announced. We continue to be on track for conversion late in the first quarter of 2019. Stacy Kymes will now review the loan portfolio in more detail. I'll turn the call over to Stacy.
Stacy Kymes: Thanks, Steven. As you can see on slide 12, total loans were at 1.9% compared to the second quarter or over 7% annualized. Building on a quarterly record for loan growth in the second quarter, the third quarter was also very strong and broad, with energy, healthcare, manufacturing and commercial real estate segments all showing gains. Total C&I was up 2% for the quarter, and 7.2% year-over-year. We are seeing broad-based strength across our region with nearly every market adding to the C&I book. Energy was about 4.7% for the quarter, and up 14.9% year-over-year, which is a testament to the commitment to the industry that we maintain during the recent downturn, which is clearly differentiated as against other energy banks. We are also benefiting from lower than normal churn in the energy portfolio as companies are slower to divest assets or sellout right in the current market environment. Our healthcare channel was up 3.6% sequentially for the quarter and 8.8% year-over-year. This channel remains a growth engine for BOK Financial and is expected to continue to perform well. Many large national players in senior housing have struggled over the last year which should lead to more opportunities for regional players, which constitute our primary customers and prospects. Commercial real estate has continued to deliver. Outstandings were up 2.5% for the quarter or 8% year-over-year. While we remain cautious given the length of the economic recovery, we are still finding quality opportunities within our strong customer base. We do not currently see any declining credit trends in this portfolio. We remain optimistic about core loan growth as we finished 2018 and into 2019 as long as the broader economy continues to show strength. We believe our geographic footprint and quality of our banking teams will allow us to outperform the national economy. On slide 13 credit quality remains strong. Non-accruals were down 7.6% during the quarter. Net charge-off remain low with 20 basis points and our loan loss reserves remains appropriate at 1.16% period-end loans and leases. I'll now turn the call back over to Steve Bradshaw for closing commentary.
Steven Bradshaw: Thanks, Stacy. Our team has put together another broad-based record quarter. The earnings power of BOK Financial and the strength of our business model is on full display again proving our diversified platform produces positive outcomes and isn't overly reliant upon any one segment or geography. We continue to be optimistic about core earnings growth to finish 2018. We're very excited about the closing of the acquisition of CoBiz earlier this month. We closed the transaction record time and I believe this is due in part to our strong community engagement track record and outstanding CRA rating. Our integration planning process has been thorough and well integrated with CoBiz leadership, we've already begun to merge activities and create run rate efficiencies contemplated in the transaction. BOK Financial and CoBiz are very similar organizations, which certainly gives us a leg up as a cultural integration is the most important factor in M&A success. This has been evident in our meetings and discussions about integration with the broader CoBiz team and I'm proud to welcome them to our organization. All told, this was yet another excellent quarter for BOK Financial. We remain convinced that we're in a sweet spot of the industry for both the business mix and a geographic standpoint. With that we will now take your questions. Operator?
Operator: Thank you and we will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Ken Zerbe with Morgan Stanley.
Ken Zerbe: Great. Thanks. Good morning.
Steven Bradshaw: Good morning.
Ken Zerbe: Maybe just remind us obviously you guys have very solid loan growth in the quarter. And I know you target more. I mean, maybe it’s wrong to say, but little smaller clients, because one of the things we hear across the industry is just this non-bank competition and how much it’s negatively affecting loan growth for most of the banks. Can you just talk about like what part of your loan portfolio might be more affected by the non-banks versus less affected and how we should think sort of the mix? Thanks.
Stacy Kymes: Well, I think, for the most – the entirety of my career, we've made a living off of playing a market in terms of a lending perspective. Certainly on the C&I and in the lines of business we play big and look big as we migrate across our footprint and in some cases outside our footprint with some of our national businesses. So certainly there are folks outside the industry on the lower end of the lending scale who have made some inroads, but that has not been a material impact for BOK Financial overall. Generally speaking, we found those types of firms better as partners than as competitors, and I think that that will continue to be the case as we move forward. But our lending platform has always been to play well against liked size peers and larger, and I don't think, I foresee that changing any time in the future.
Ken Zerbe: Got it. Understood. Okay thank you very much.
Operator: Our next question is from the line of Brady Gailey with KBW. Please go ahead.
Brady Gailey: Hey good morning guys.
Steven Bradshaw: Good morning.
Brady Gailey: Maybe we could start with the buyback. I know you have been active on the buyback front in the past, you weren't in the third quarter. Maybe that's because of what was going on in CoBiz but with the stock trading where its trading, if you could just update us on your thoughts about buying the stock back here.
Steven Nell: Yes. You're exactly right. We stayed out of the market during the third quarter because of CoBiz. We’ll be in a position to be in the market in the fourth quarter beyond and we've got plans to do that at this level of price. And we have buyback authorization of just shy of two million shares at this moment, and I suspect we'll be in the markets in the fourth quarter.
Brady Gailey: Okay. And then I know part of the B2 consensus estimates this quarter was driven by fee income and specifically the wealth management. You talked about the larger fee that was earned as a result of some of the sale of some client assets. Can you just expand on what happened there?
Steven Bradshaw: Sure Brady. It's Steven Bradshaw. Yes we thought we needed to call attention on that, because that's a bit larger than what we would typically see, but we're engaged in helping clients optimize their assets on a regular basis. Our trust business or fiduciary business has a pretty significant hold in the minerals and farm and ranch land areas and so it's not unusual for us to work with clients to try to optimize those sales. In this case, it was a pretty significant property set of oil and gas properties that we negotiated on behalf of a client in order to earn that fee. So core business for us, a little larger fee than what we would typically see. So we thought it was important to draw to your attention but all of our quarterly results will include asset disposition fees just as a normal course of business.
Brady Gailey: Alright. Got it. Thank you guys.
Steven Nell: Thank you.
Operator: Our next questions comes from the line of Brett Rabatin with Piper Jaffray.
Brett Rabatin: Hey guys, good morning.
Steven Bradshaw: Morning.
Brett Rabatin: I wanted to talk about expenses, and just kind of understanding you had about ten million this quarter related to share based and incentive comp, and you mentioned that you were going to be doing some other things like you were doing and mortgage to become more efficient. Can you maybe just give us a little more color around how you see expenses playing out and then what you're doing in the other businesses. what impact that might have whether it's in 2019 or how we should think about that?
Steven Bradshaw: Yes. It's Steven Bradshaw. I'll talk about the expense initiatives and Steven may have some things to add as well. For us, a lot of our fee businesses are by design, counter cyclical as a way to obviously to mitigate significant volatility to earnings and we're seeing that today in our mortgage related businesses, both mortgage origination as well as our trading activities inside the broker dealer which have a pretty strong mortgage presence or MBS presence as well. So we've been working to take capacity out of both of those business lines. We talked about this quarter that we took out run rate expense on the mortgage side in excess of 4 million, and we're just trying to get expenses in line with how we're thinking about revenue growth for those particular businesses going forward in this rate environment. So that work continues. We would expect to add to that run rate say, in the fourth quarter.
Brett Rabatin: So is it fair to assume kind of the 240-ish, 245 run rate, is kind of a core number?
Steven Nell: Yes with the BOK Financial standalone and of course now, we own CoBiz and so we will incorporate their expense base into the fourth quarter and then we'll also have 75% of that $45 million that I mentioned in terms of integration and closing costs in the fourth quarter. But I don't expect anything highly unusual with expenses. We'll work through our budget process as Steve mentioned. We'll take necessary action that we need to put together a good budget, but I don't see a deviation from kind of your normal trend of what you mentioned there in terms of size, BOK and standalone.
Brett Rabatin: Okay and then I wanted to understand, make sure I understood the guidance around fee income and just thinking about the businesses. I assume the guidance were slightly softer. Fee income would obviously exclude the large gain on the mineral right, I assume sale end of third quarter, does mortgage in your view continue to be a little softer from here and what kind of contribution on an ongoing basis might that piece especially the wealth management contribute?
Steven Bradshaw: I mean that's exactly the reason we gave the guidance, as we do think it’s going to be down a bit. The pressure is in the mortgage industry. It affects our mortgage origination, currently it has affected margins as well. In the third quarter, we expect that to continue. It has some impacts in our brokerage and trading activity with our mortgage back security forward trade activity. But as Steve mentioned, we’ll work with those businesses to determine the right level of profitability as it relates to the revenue size. So we do see some pressure in our fee businesses, those – primarily those two categories because of the mortgage environment continuing in the fourth quarter.
Brett Rabatin: Okay. Appreciate all the color.
Operator: Our next question is from line of Peter Winter with Wedbush Securities.
Peter Winter: Good morning.
Steven Bradshaw: Yes morning.
Peter Winter: Now that you guys closed CoBiz and done some additional due diligence. I’m just wondering, can you provide an update in terms of maybe quantifying potential revenue synergies and any chance if you can do better than the 40% cost saves?
Steven Nell: Well it's a little early we think to forecast kind of fee synergies. When we announced the deal, we did not build any fee revenue synergies into the -- into the pro forma or into the pricing. There is upside there. But until we get to our budget process in this fall in the fourth quarter, we don't know exactly what that opportunity might be for 2019. It won’t be immediate, but longer term certainly there is going to be some benefit from selling our fee revenue businesses into their client base. So yes, I think it just contingent in us putting it on paper during the budget process and kind of understanding what the synergies are going to be. I believe today, that the synergies will be attained on the expense side. Everything that we’ve looked at, the actions we have taken so far would lead us to believe we can get the lift that we indicated initially when we announced the deal in June. So I’m pretty confident with that.
Steven Bradshaw: Yes. Peter it's Steve. I’d say the other thing, I’d add in addition to the fee synergies, we’re already seeing some interest among CoBiz kind of traditional customer base to benefit from our larger balance sheet. And so we would expect some incremental loan growth to come out of that customer base as well in addition to adding our fee base businesses to those relationships. And we see both of those, and we’ll focused on both of those in 2019.
Peter Winter: Okay. And you mentioned Steven about the slowing growth in the NIM from continued Fed rate increases. So I am just wondering if you could be just little bit more specific, so in other words, how much was the benefit to NIM from a 25 basis point rate hike before and what do you think it's going to?
Steven Nell: Yes. I think when you normalize some of the unusual items out and just look at it on the comparative basis for the second quarter, we will have probably three to four basis points in a real normalized terms with this 25 basis point rate increase. I expect it to be close to that, but we do see deposit pricing listing a bit. I mean, the deposit betas were a little bit higher in the third quarter. We expect that's going to be the same in the fourth quarter as long as loan growth continues to grow, which we think it will. So, we see benefit from the next 25 basis points rate increase, but perhaps in a slightly lower levels that we saw the previous couple of quarters.
Peter Winter: And just my final question I am sorry, but loan growth on a standalone basis, it's very strong high single-digits. Do you think it might be slightly less next year just given competitive pressures that are out there?
Stacy Kymes: We kind of indicated when the year started that mid-to-high single digit loan growth was something that we thought was very achievable. And based on where I sit today, I would tell you as we look out into 2019, similar guidance would be appropriate. I think that all of that is predicated on GDP growth rate that's in 2.5% to 3% plus or minus range. If you get the economic slowing, there’s a clear co-relation to loan growth overtime. But as long as the economy, the broader economy is doing well and there's a growth, I feel very comfortable with kind of the sustainability of our current level of loan growth, and I think that should continue in my view.
Peter Winter: Right. Thanks for taking my questions.
Operator: Our next question is from the line of Michael Rose with Raymond James.
Michael Rose: Hey good morning guys. How are you?
Steven Bradshaw: Morning. Good.
Michael Rose: Good. Just wanted to get a sense for the timing of a cost save realization. Obviously, the deal closed earlier and you're expecting a conversion next quarter. Just how should we think about the flow through of the expected cost savings just as we move forward? Thanks.
Steven Nell: Well I think we gave you guidance around the integration cost, and then we are currently taking action if you will around some of the synergies that we talked about on the expense base. And some of those will be sooner than others, others will -- we've got to continue to operate CoBiz somewhat independently if you will until we get the systems converted, and we have that scheduled for the end of March. And so, don’t think there will be a lot of difference compared to what we originally announced. We think, we'll get pretty close to full synergies the last three quarters of 2019, but it's going to take some time and dollars to get ourselves to that conversion date at the end of March.
Michael Rose: Okay. That's helpful. And then maybe just a follow up on the last question on loan growth. You talked about the correlation growth to GDP, but that seems to kind of decoupled here relative to history. So I guess, can you give some color and context maybe as it relates to what your portfolio and why you guys might be different than I guess the rest of the industry? Thanks.
Steven Nell: Well I think, first and foremost I think, our geographical footprint is differentiated. We've said that and we've been very purposeful about how we built the franchise. We think, we're in some of the best and fastest growing states from an economic perspective and I do think ultimately that does result in a differentiated outcome relative to peers in different parts of the country. For us, clearly energy is a differentiator. Healthcare is a differentiator, as we look at segments that we have that were focused on that we're able to grow in different times, and I think then that, that's a benefit to us and part of how we build a franchise and continue to build a franchise over a long period of time.
Michael Rose: Okay. good color. Thanks you guys for taking my questions.
Steven Nell: Thank you.
Operator: Our next question is from line of Jon Arfstrom with RBC.
Jon Arfstrom: Thanks. Good morning.
Steven Bradshaw: Morning Jon.
Jon Arfstrom: A couple of follow ups here. Just I guess, Stacy, since you're front and center on energy, you talked about your consistency there leading to some of your growth. Are you seeing increased competition in that business?
Stacy Kymes: There is some competition coming back into the space as you would imagine with prices stabilizing and up until last couple weeks generally rising. You do see some entrance particularly some of the foreign competitors beginning to dip their toe back in the water. It's not a huge headwind from that perspective, part of growth has been the slowdown in the public equity markets for some of the large energy companies. So they don't have the currency per se to buy or the public equity markets aren't rewarding maybe the better way to say it those who are buying other properties and so and kind of growing their opportunities for EMP and then our customer base that's resulted in loans being stickier for longer and so that helped decrease the churn in the portfolio and enhance the growth right there. I don't see that changing in the near term, and that's been to our benefit, but competition is returning, but I think, it's pretty well respected who are the leaders in this space and we're seeing multiple opportunities to grow around this and taking advantage of them frankly.
Jon Arfstrom: Yes, okay. Okay, good. Then a follow-up I guess maybe some more of a margin question maybe for Steve or Steven, I guess. This thing about migration to off balance sheet alternatives and wealth management. Curious how significant that was and also can you talk about other migration that maybe you're concerned about in commercial and consumer?
Steven Nell: Yes. I think the wealth of component, it was around 300 million to 350 million and really that's not that big of a moment out of that deposit base. And so, I really don’t see that as any kind of trend or real indication of movement of the balance sheet. Only my comment there. Other thoughts.
Jon Arfstrom: Okay. Commercial and consumer, any concern there?
Steven Nell: Commercial is high, this actually looked really good this quarter and in fact we were up in DDA balances in commercial. And consumer's pretty flat. Now there's some competition that we see moving in. we have some things we can do backward talking about that internally to as we speak around products and other things that we can do on both the consumer and well side to and maybe stimulate some deposit growth going forward. But we're aren’t ready to talk by the details of those yet.
Stacy Kymes: Generally speaking, I think this rate increase cycle there's been less this intermediation to non-bank products because of the changes in the money market mutual fund rules. And so the competition has really been more focused on other financial institutions and their individual liquidity needs then this inter mitigation which has been a bigger issue in past rising rate time periods.
Steven Bradshaw: Yes Jon, its Steven. I'd tag one of those as well. We benchmark to our peers and as of June 30 with our 42% of our deposit base being non-interest DDA. That's number two. Out of all the banks between 10 and 50 and I think that helps the count from the fact that we are lagging in deposit base. If you look at the large national banks, their deposit beta was in the 38% range, we were in about a 33% range. And if that's why and we've Steven said we worked very hard to build that commercial DDA base and that's the strength for us.
Jon Arfstrom: Okay. And just last one Steven, for you. A little bit of a mix shift on the asset side and on the deposit ratio, when I put that. Any limits on loan to deposit?
Steven Nell: Well, it's here a long time, we've ranged from 60% all the way up into close to 95% range. We're still on a really good liquidity far than about 84% of what we are today. We'll continue to look at the balance there. I love the loan growth and we'll find ways appropriately to fund that. And there is no limit as to what level we would go to but we'll just work in terms of our asset liability management to generate the kind of deposit growth we need at a good spread to support what Stacy and no other while all of our lenders are doing. That'd be my comment.
Jon Arfstrom: Yes, okay. All right, thanks for taking the questions.
Operator: Our next question will come from the line of Jennifer Demba with SunTrust.
Jennifer Demba: Thank you, good morning.
Steven Bradshaw: Good morning, Jennifer.
Steven Nell: Good morning.
Jennifer Demba: Just a quick question. You had impairment on the software license and OREO right down in the healthcare property. What were the amounts on those two items?
Steven Nell: The impairment on the software contract was $2.50 million and the write down on the property was $1.7 million. That's a really unusual there, I don’t think we pondered them out because they were they happen from time-to-time. On the software contract we renegotiated. There was a component of it that licenses that had no longer had value to us, however the renegotiated contract with that particular vendor provides us great synergies going forward. But we did carve out the component of it during the renegotiation that didn’t have any containing value, so from the counting perspective with just the charge. But economically longer term, the renegotiation with that vendor is paused.
Jennifer Demba: And question on healthcare loans. Stacy, what's your comfort in concentration in the general healthcare category going forward?
Steven Bradshaw: We were very comfortable. We'll continue to grow that. We don’t have any internal constraints that would limit the growth in that sector. As you know, for us healthcare kind of has three buckets, hospitals, senior housing and medical other. Our focus primarily is in the senior housing space. We feel good about that. We see good opportunities to grow there and we don’t have any factors that would limit our growth there.
Jennifer Demba: Okay, thank you.
Steven Bradshaw: Thank you.
Operator: Our next question is from the line of Matt Olney with Stephens.
Matt Olney: Hey great, thanks, good morning guys.
Steven Bradshaw: Good morning, Matt.
Steven Nell: Good morning.
Matt Olney: I want to go back to the deposit discussion and I'm curious when was the last time you completed a wholesale update in post deposit rate? I'm just trying to fully appreciate your expectations for higher deposit betas in the fourth quarter.
Steven Nell: Well, we've had exception pricing on the commercial portfolio, not a wholesale increase across the board at this point. Now, we do we have had exception pricing through that portfolio but and again I think there's more opportunity there the exception price to create some deposit growth going forward. [Approach] clients perhaps have smaller balances and historically we've seen. I mean, there are some things we can do on the commercial side to continue to stimulate some deposits without some sort of wholesale kind of increase in pricing. Consumer, we've held those pretty flat. We got some a longer term kind of CD product that we're looking at, that in fact we had it out there and it's got some traction. And so, consumer deposits held pretty flat. And we talked about the wealth management deposits earlier. But looking at all angles for all of our different customer types.
Matt Olney: Okay, that's helpful. And then, Steven, you mentioned last call the FHLB trade will be coming off that would benefit the margin. It looks like we saw that in the third quarter. Did you get all that benefit in the third quarter? Are there still some remaining impact in the fourth quarter?
Steven Bradshaw: It's pretty much all in the third quarter, we don’t have any other benefit. So, I think that 321 margin that you see is a good starting off point if you will, it's not being deluded by any kind of a transaction like that. It's all out.
Matt Olney: Okay. And then just, I'm looking for more clarification on the fee income guidance. I think you said the fee income would be down. Are you saying that the core fee income just that legacy BOKF will be down in 2018 versus 2017, so below that 645 million. I'm just trying to understand what the exact message is that you give there?
Steven Nell: Well, I'm really give in, I think that comment relates more to the third quarter's level. And where we saw mortgage drop off over $3 million and we saw both trading off over $2 million. I don’t know the magnitude or what it will drop in the fourth quarter but I do think that'll be I wanted to indicate that we do see additional pressure there on the mortgage revenue line item and the brokerage and trading line items so long as the mortgage market continues to behave like it is and the environment stays the same. There'll be pressure there in those two line items and I'm just wanting to acknowledge that without giving any on specific dollar amount.
Matt Olney: Got it, okay. And then, last question from me. I think in the past you talked about some really good run way for commercial real-estate growth, they can last for at least a few more quarters within those parameters. Is that still the view at this point, still some good run rates as far as commercial real-estate growth?
Steven Bradshaw: So, we measure that based on commitment not based on outstanding. And so, as we look at going into 2019 particularly as we integrate CoBiz. I think that we're going to see constraints around commercial real-estate. But I think that will large will be around the commitment side. I think we still have run way to go in terms of seeing the outstanding continue to grow at a pace reasonably consistent with kind of that mid-single-digit that we see year-over-year in that space. So, I think that and certainly as I look forward, I think that the growth outstanding is sustainable. We'll have to manage concentration levels based on commitments. But I think that outstanding still have room to grow.
Matt Olney: Got it. Thank you, guys.
Steven Bradshaw: Thank you.
Operator: Thank you. We reached the end of our question and answer session. I would now like to turn the floor back over for closing comments.
Steven Bradshaw: Okay. Well, thanks everyone again for joining us. We appreciate it. If you have any further questions, give me a call at 918-595-3030 or email me at ir@bokf.com. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.